Operator: Good afternoon. Welcome to ADT's First Quarter 2021 Earnings Conference Call. [Operator Instructions]. Please note, this event is being recorded. I would now like to turn the conference over to Derek Fiebig, Vice President of Investor Relations. Go ahead.
Derek Fiebig: Thank you, operator, and we appreciate everyone joining ADT's First Quarter 2021 Earnings Conference Call. Speaking on today's call will be ADT's President and CEO, Jim DeVries; and our CFO and President of Corporate Development, Jeff Likosar. Jim will provide an overview of our first quarter performance and our progress against the company's strategic objectives. Jeff will then cover more detail on our financial performance and 2021 outlook. Also joining us for Q&A are Don Young, our EVP and COO; and Jason Smith; and Jill Greer, who are Senior Vice Presidents of Finance. This afternoon, we issued a press release and slide presentation on our financial results. These materials are available on our website at investor.adt.com. In our materials, you will see that as of the first quarter, we have now begun to provide operating segment information. Our 2 segments are Consumer and Small Business, or CSB and Commercial.  Today's remarks include forward-looking statements. These forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from those forward-looking statements. Some of the factors that may cause differences are described in our SEC filings. Today's call will also include non-GAAP financial measures. For a complete reconciliation of our non-GAAP financial measures, please refer to our press release. With that, I'll turn the call over to Jim.
James DeVries: Thank you, Derek, and welcome, everyone, to our call. Our year is off to a great start, and I want to thank the entire ADT team and our dealer partners for their dedication in taking such exceptional care of our customers. While conditions are still challenging as we work through the COVID pandemic, our teams remain focused on making our customers' lives safe and simple at home, at work and on the go. On our call last quarter, I outlined several key priorities for 2021, including growing our RMR additions and recurring monthly revenue base, improving the performance of our Commercial business and driving innovation, both internally and through our partnerships. Our first quarter results reflect the progress we're continuing to make on each of these fronts. We're off to a strong start in delivering on our growth objectives. In our Consumer and Small Business segment, we're seeing solid customer demand for our products and services. New gross subscriber additions increased by more than 30% versus the year ago quarter and 86% of our internally generated new customers opted for our interactive services, up 4 percentage points from the start of last year. Concurrently, our total company customer attrition held sequentially at just over 13%.  Net subscriber growth, combined with rising average revenue per unit on internally generated new customers drove 25% growth in overall RMR additions or 14%, excluding this year's initial Ackerman account purchases and the smaller bulk account purchase we mentioned on our first quarter results last year. With this strong start to the year, we're firmly on track to achieve our full year target of mid-teens RMR growth. To get there, we still plan to spend $150 million to $250 million in incremental investment in subscriber acquisition. The majority of that incremental investment is expected to hit in the first half of the year, including $116 million in the first quarter. We continue to take a disciplined approach to growth. This quarter, we increased net subscribers and grew our RMR additions while also maintaining our revenue payback at 2.2 years. Our path to achieving our RMR growth target involves a number of important tactics with 2 of the more important ones being: first, to increase the reach of our products and services; and secondly, to expand the value proposition for customers. Our partnerships with D.R. Horton, Lyft and Instacart place ADT products into the hands and homes of more customers every day. And our DISH partnership, along with Ackerman as a new dealer, is expected to expand our reach into more geographies as we further build national scale that no other provider can offer.  We also continue to expand and strengthen our commercial capabilities with tuck-in acquisitions. We're also developing partnerships that allow customers to receive even more value from their relationship with ADT. For example, we joined forces with both established and new insurance tech firms like Branch and Hippo to give customers more options to protect their life, property, family and assets, and save money on their homeowners insurance. We're regularly engaging with potential new partners, who will help us meet customers, increasing demand for smart security products across all aspects of their personal and professional lives. So as we think about our key priority of capital-efficient RMR growth, not just this year but also into the future, we believe our initiatives around subscriber acquisition efficiency and customer value will be boosted by external demand catalyst. We expect the increase in home builds, trends toward de-urbanization, evolving interest in security and in particular, growing smart home adoption will all contribute to long-term revenue growth. A second priority is to improve the performance of our Commercial business. After a challenging 2020, largely as a result of the pandemic, we returned to revenue growth and margin expansion during the first quarter and generated a $20 million increase in EBITDA. We still have work to do, both on revenue growth and margin rate, which remains below 2019 levels, and we'll continue to invest in the Commercial business throughout the year. Importantly, our backlog in this part of the business remains at record levels. We've expanded ADT's commercial footprint with the acquisition of SAFE Electronics, and through our exclusive partnership with WG Security products, a technology-driven provider of shoplifting prevention solutions. This acquisition and partnership, combined with the premium service and -- premium services our team provides and the gradual reopening of customer premises post-COVID are producing great momentum in our Commercial business. We're also making progress on priorities around innovation through both our partnerships and our own internal efforts. Our Google partnership will provide more customers access to rapidly evolving smart home services by combining the best of both worlds, Google's best-in-class smart home products and analytics, and ADT's best-in-class premium service and smart and safe home innovations. We shared our plans to gradually roll out Google hardware into the ADT ecosystems. Our customers can now purchase Google products. The Google voice assistant, the Nest Hub and the Max hub can all be purchased and integrated into a customer's smart home system by ADT's unrivaled network of technicians.  While we expect to roll out more integrated products in our joint go-to-market branding as we move through this year and into 2022, I want to underscore that this is a long-term relationship. Our initial focus is centered on building a solid foundation that will allow both ADT and Google to drive the most long-term value for our customers. This partnership approach and the transformation it will drive across ADT, positions the company to compete and win in the rapidly growing smart home market. In addition, we have a long and proud history of innovation at ADT with a robust and growing internally developed portfolio of patents and other valuable intellectual property as well as the developers, engineers and other innovators, who will help turn our proprietary data and insights in the innovative new services and products for our customers. We're increasing our innovation investments this year, planning an initial $50 million on next-generation solutions that will power our future services, products and customer experience. With ADT owned and developed solutions, combined with Google's hardware and technologies, we can further differentiate our company in the eyes of customers.  And while we have strong momentum in our business, we, like most companies, also face challenges. While access to customer premises is much improved today versus last year, the pandemic is still affecting our operations, and we're managing customer interactions carefully with a focus on safety. Our 3G radio conversions remain on schedule so far this year. However, the worldwide chip shortages affecting many industries, are adding some complexities, including limiting the benefits we can achieve with our CellBounce product.  While we have meaningfully increased our technician capacity during the past year, we're also faced with recruiting challenges in labor markets, which are increasingly tight. We're focused on managing these challenges as we did in the first quarter and excited by the ongoing growth we intend to deliver through 2021. In closing, 2021 is off to a very strong start, and we're excited about the continued evolution of ADT. We have a durable revenue model and our focus on growth is producing a better top line. With a trusted brand, national scale and the best technicians in the industry, we have an unmatched set of competitive advantages. And we are driving innovation and transformation across all aspects of the business, not just for 2021, but for many years ahead. With that, I'll turn the call over to Jeff for a more detailed review of our first quarter results and our outlook for the year.
Jeffrey Likosar: Thank you, Jim, and thank you, everyone, for joining our call today. I'll reiterate Jim's comment that we are off to a solid start to 2021. The highlight of our first quarter was our very strong growth in recurring monthly revenue addition or RMR, which includes our Ackerman account purchases. These growth trends are as planned with positive net new additions and increase in average pricing and strong attrition performance. Our resulting base of RMR grew by approximately $6 million compared to the fourth quarter and $10 million compared to the prior year. Over time, we expect these trends will lead to more growth in monitoring and services revenue, which grew by 2% in the first quarter compared to last year. Our adjusted EBITDA at $542 million was essentially flat year-over-year and slightly better than our internal plan. The key positive adjusted EBITDA drivers included growth in monitoring and services revenue and commercial improvement, which were offset by the noncash effect of our ownership model change. Before going into more detail, I want to add some color to our segment change. Effective in the first quarter of this year, we adjusted our operating structure and our reporting to segregate our Consumer and Small Business, or CSB operations from our Commercial operations. The resulting separation of these segments will add transparency to our results. The commercial segment, which comprised approximately 20% of first quarter revenue, is composed of large commercial customers with expansion facilities and/or multisite operations, which often require sophisticated integrated solutions. The CSB segment is made up of all other customers, including residential homeowners, small business operators and other individual consumers. Our CSB segment services include our core premise-based security and smart home solutions in addition to other offerings such as health and mobile security. You can see our first overview of the 2 segments in our earnings deck, including some historical detail in the appendix. The highlight for the first quarter in our CSB segment was our strong increase in addition to units in RMR. Beyond the Ackerman account acquisition, our dealer channel was especially strong overall in the first quarter. We also continue to sell more interactive services, which is becoming the norm for new subscribers. Interactive customers now make up more than 50% of our total CSB subscriber count. The resulting mix shift is helping produce a modest increase in revenue per unit for this segment. The highlights for our Commercial segment is a return to year-over-year growth after a challenging 2020 pandemic-driven environment. Both revenue and adjusted EBITDA increased in the first quarter as gradual reopening of customers' locations increased demand for and fulfillment of our services. Commercial EBITDA grew by around $20 million due to the stronger revenue and margins, including the benefits of net improvement in provisions for credit losses and overall cost discipline. We have strong backlogs for Commercial demand and expect results to continue to recover with an objective of returning to 2019 run rates during the course of 2021. Turning to cash flow and the balance sheet. Adjusted free cash flow of $64 million was ahead of our internal budget, driven mainly by timing items, but down from last year due mainly to a $116 million increase in net subscriber acquisition costs or SAC. This higher SAC investment is as planned, is consistent with our growth focus and includes approximately $73 million from our initial Ackerman account purchases.  Our trailing 12-month revenue payback held flat to last quarter at 2.2x and is down compared to last year's 2.3x despite the mix shift towards dealer generated accounts, which are slightly more expensive on an incremental basis than direct accounts. Our balance sheet remains in a healthy position to fund our growth initiatives. A highlight in the first quarter was our January 1 lien term loan repricing transaction, which reduced the spread by 50 basis points and LIBOR floor by 25 basis points, which translates to about $20 million in lower annual interest costs. Combined with other refinancing transactions in 2019 and 2020, we have collectively reduced our annual cash and interest by well more than $100 million. As we look to the rest of 2021, based on demand trends and early results of our growth initiatives, we remain confident in the full year guidance we shared in February, which we affirmed in today's press release and included in our deck. I also want to point out that our adjusted free cash flow will not be evenly achieved by quarter due to cash and interest timing in the Ackerman account purchases in the first quarter. Our adjusted EBITDA will likewise not be consistent by quarter due to our ownership model change and investment timing. We shared in February that our full year guidance includes RMR growth in the mid-teens, and we're off to a very solid start. Other things equal, more growth in RMR additions leads to more SAC investment. As always, we are managing several potentially offsetting items, and we will update you on our guidance in August. One other note is that we made solid progress on 3G conversions in the first quarter, during which we converted more than 500,000 radios. We continue to estimate a range of $225 million to $300 million of total net cost for the program, which is excluded from our adjusted free cash flow measure. We have incurred a net of approximately $136 million on this program to date, including $59 million in the first quarter. Finally, we announced on our last call that we are planning an Investor Day later this year. We look forward to seeing many of you there, hopefully, in person. At that event, we plan to lay out our strategic vision that underpins our excitement and confidence in the future, along with a longer-range financial framework. In conclusion, I'd like to join Jim in thanking the entire ADT team for their great work, and I want to thank all of you for your support and for joining our call today. Operator, please open the call for questions.
Operator: [Operator Instructions]. Our first question is from Kevin McVeigh from Crédit Suisse.
Kevin McVeigh: Congratulations on the results. Jim or Jeff, I wonder, just given the strength of the EBITDA in Q1 relative to the full year, was that kind of as expected? Or does that allow you to maybe do some incremental investment over the course of the year? I guess, just how should we think about the beat relative to the reaffirmed guidance as we work our way through the balance of '21.
Jeffrey Likosar: Thanks, Kevin. Yes, more or less as expected, it was a little bit better than our internal budget, pockets of strength included Commercial recovery, monitoring and services revenue that grew. We're pleased with our adds. We're pleased with our attrition. On a year-on-year basis, it's affected, of course, as we described by the ownership model change, but off to a good start. And as always, we incurred some challenges, some of which Jim described, but we were able to execute some opportunities to offset those challenges. So we feel really good about our start to the year.
Kevin McVeigh: Awesome. And just real quick is really the retention looks really, really good at 13.1%. Is that still -- I mean, there's probably still some COVID impact to that, but is that starting to open up a little bit? And any other puts and takes? It feels like there's a little more duration there? And is that maybe more operational or just the commercial remixing? Just any thoughts around that as it relates to the retention.
James DeVries: Yes. I'll share some, Kevin, on attrition. We -- so we ended the year at 13.1%, maintained that level in the first quarter. It's an improvement of 40 bps from the first quarter last year. Relocation cancels were worse year-over-year, and we were favorable on lost to competition and non-pay. So we shared we expected some headwinds from the absence of the Defenders charge-back, but we were able to offset those headwinds.  Underlying performance, Kevin, was strong. Q1 '21 NPS was better than Q1 '20. Our -- some of our operating metrics, first call resolution, save rates are tracking nicely. And so we still think that we have some headwinds to face, principally through relocation and the loss of the Defender's charge-back, but we feel pretty good about attrition.
Jeffrey Likosar: Kevin, it's Jeff. One other thing I'd add, too, on your question on EBITDA, which I said in my prepared remarks, but there are some unusual dynamics year-on-year, because of COVID, some of which Jim touched on in his response. So I wouldn't multiply first quarter by 4. We've held our guidance as we put it out originally. So feel really good about where we are, but expect it to be a little bit more in the first quarter and our guidance is the same as we shared a couple of months ago.
Kevin McVeigh: Very helpful. And congratulations, Jeff, on the new roles.
Jeffrey Likosar: Thank you.
Operator: [Operator Instructions]. Our next question is from Jeff Kessler from Imperial Capital.
Jeffrey Kessler: And again, I want to congratulate you guys on your new roles, including Don. Can you go through -- you went through fairly quickly at the very beginning of your presentation, Jim, the various subheadings of RMR growth and how 1 rolls into the other. Can you go through that again?
James DeVries: And clarify which part I can provide more color, Jeff?
Jeffrey Kessler: Just on what subsegments of RMR are adding up to the larger mid-teens total growth that you're trying to get to.
Jeffrey Likosar: Yes. So our overall -- and Jeff, this is Jeff. Our overall RMR add growth was 25%. If I exclude from that, the initial Ackerman account purchase and then exclude from that, a bulk account purchase that we mentioned last year, we would have been up 14%. Our full year guidance was to be up in the mid-teens, and implicit in that guidance, of course, was Ackerman. Redoing of Ackerman when we gave the guidance, which we're counting on a full year basis, contributing something in the mid-single digits towards that mid-teens growth.  Aside from Ackerman, our dealer channel, was particularly strong. So I would call that out as another driver, and then Commercial recovery helped with RMR. Of course, it's off a smaller base, but the Commercial business coming back is encouraging as well.
Jeffrey Kessler: Okay. Okay. With regard to your Commercial business. Commercial seems to have a very strong backlog, maybe even a stronger pipeline. And again, while we're hearing -- well, my sources in the industry basically up and down the line are basically very, very bullish about this turning into revenue later on in the year or maybe in 2022.  Can you just talk a little bit about where your Commercial industrial business is at this point in time in being able to drive the backlog and maybe the pipeline that's supporting that backlog into revenue closings actually? When are we going to see the result of that?
James DeVries: Jeff, it's Jim, and I'll share some perspective on that. The -- we're also very bullish about the Commercial business. Results have been improving on a sequential basis. And now we've improved on a year-over-year basis. We're pleased with our progress. We have a good bit of work yet to do. A few headlines to share with you. We believe that we can compete and win in this business. We have outstanding service. We think we have the best leadership team in this space. Secondly, we are confident that we'll return to double digit top line growth in 2021. We also feel good about our sales pipeline and our backlog. Our 3/31 backlog is at another record both for IR and RMR.  And then lastly, we think we have some opportunity to improve margin. And on a run rate basis, we're confident that we can get to 2019 levels by the end of this year. And longer-term EBITDA margin rates in the 12% range. So summary would be, we're also very bullish here. We'll continue to invest in Commercial. We're growing new verticals, like health care, education and government. And just as we did during the pandemic year, we're taking a long-term view of this business, but feel really good about it.
Jeffrey Kessler: Okay. And if I might just throw in 1 more since this is my last press conference. My -- 1 of the areas, obviously, that I have been focused on for the last maybe 5 or 10 years has been -- has obviously been the false alarm rates being generated by new players in the industry as well as old players, who aren't doing so well or who have legacy systems.  As the industry kind of moves toward or as police departments kind of try to move toward a scoring system, so that some people don't get serviced in -- in 10 minutes, and some people don't get serviced and get serviced -- some people get serviced in 3 hours. Where is ADT right now in their project with -- obviously, with Google and other technology companies to bring some type of standard to this industry?
Donald Young: So Jeff, this is Don. Appreciate the question. As you know, we've been talking about this for a long time. As usual, ADT is leading from the front on this, both on helping to define the AVSO 1 standard that we were just referring to the help score alarms differently, intrusion alarms specifically. At the same time as the standards being developed and standard meant for the entire industry to follow, we are working closely with Google, as you know, to develop the technology to live up to that standard.  Everything from verifying location information at the timing of the alarm event, video verification, a number of data streams that we are using Google's cloud to provide us to be able to provide a real-time scoring mechanism to live up to that standard. We're really excited about it. We've seen some progress with it recently with the rollout of Signal Chat, a small factor I agree. Actually have Signal Chat deployed over 1 million customers, and we're seeing a 50% reduction in false alarms just from that customer set alone. So we're already making ways on reducing false alarms and the next wave is really to leverage analytics to try to live up to that standard.
James DeVries: Jeff, I think if I have my facts right, you've been covering ADT since 1983. And on behalf of the organization, good luck in your retirement. Thanks for your support over all these years. We're looking forward to working with Brian and very much wish you luck in retirement.
Jeffrey Kessler: Thank you. I'm not leaving the whole industry, but I'm leaving these conference calls. I'm out of the sell side.
Operator: [Operator Instructions]. At this time, we have no questions. So this concludes our question-and-answer session. I would like to turn the conference back over to the company for any closing remarks.
James DeVries: Thanks, Kate. In closing, I'd like to extend my appreciation, again, to our employees and dealers. We had a strong start to the year. I'm proud of your collective efforts. Thanks, too, for everyone joining our call this evening. We're optimistic about the year as well as ADT's future. And looking forward to the growth ahead. Have a good night, everybody.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.